Operator: Good morning, good afternoon and welcome to the discussion of KGHM Polska Miedz S.A. Results for 2024. The results will be presented by the Management Board CEO, Andrzej Szydło; Deputy [Indiscernible], Mr. Zbigniew Bryja, Mr. Miroslaw Laskowski and Piotr Krzyzewski. With us today is also Director, Janusz Krystosiak, the Investor Relations Department, who will be moderating the Q&A session right after the presentation of the results. Our conference is being streamed online. You can ask your questions both through from the room as well as via email to ir@KGHM.com. Over to the CEO, Mr. Szydło.
Andrzej Szydło: Good afternoon, ladies and gentlemen. I hope you can hear me. Ladies and gentlemen, an annual conference, a conference presenting the annual results is an opportunity for us to present the annual results, but also to wrap up the year. I remember our conference a year ago where we discussed the results for 2023. And it's not a secret, no one's going to be surprised that in discussing the results for 2023, we discussed the results of KGHM, but those were not the results of the work of this management board for 2023. As for 2024, by and large we are discussing the results of our own, as we might put it. The results were published yesterday and you're aware of them. And by the way, some comments have already appeared in the media. Let me start on an untypical note and start with what the conference looked like a year ago. A year of the management Board's work has passed in this composition and in retrospect, to allude to the conference that was held in April 24th will, I think, be a good start to also make a resume of this Board's work and also to present what we were grappling with, what we have identified and what sort of analyses we've performed in the company, and how we approach the management of such an organization as KGHM Polska Miedz S.A., an organization which, in terms of the raw materials, the commodities, is important not only for the region, for the country, but also for the EU or Europe as a whole. Let me just remind you that KGHM, when it comes to primary copper, it represents 50% of the EU output, which in today's times of uncertainty and the attention put to commodities, especially critical commodities and strategic commodities, makes a huge difference. Who are we, what are we responsible for and how the responsibility is distributed when it comes to the commodity, to Poland's and EU's commodity strategy. What did we deal with before we pass on to the results? What did we deal with over the last year? Obviously it should come as no surprise to anyone we had to review the company's past and what the ongoing most important problems were we have prioritized those problems and dealt with them in such a way as to catch up with the time and resolve those issues that were the most urgent ones. With your permission, let me come back to the conference for 2023 and where we were. Of course, physically we were here, the same conference room, but in terms of our thoughts, we were at the company premises owing to some problems that required very urgent resolution. Without getting into details, for obvious reason, also not to abuse your time, but the problem of water-related threats in KGHM was a problem which in the months of May -- March, April, May and even June was a priority problem that we were dealing with, especially Mr. Laskowski's departments responsible for production. Most companies like ours, deal with natural resources. In our case it was the issues connected with the Oder River and the golden algae. KGHM was not responsible for those crises but KGHM is an entity that uses natural resources and we had to be very careful and meticulous to ensure the top environmental safety and security. We confronted the status quo in the form of a significant filling of the hydro technical structure, the iron bridge, at almost 100% of its capacity; that's to say, at times when KGHM should have built a retention facility. This year we will see what it -- what the next month shows. We have probably have a hydrological drought, low levels of water in the Oder River. So we have to be prepared not to add in any way to possible negative natural phenomena, not to add additional risks connected with the possible discharge of additional water from technological processes, from water removal from the mines to the Oder River, which is the natural body of water used by KGHM, both when it comes to water intake and discharge. How does it look in brief? Well, in the winter months, the flow of water in the Oder River and the potential changes in the salinity of the Oder water is not very sensitive to whatever is going on at the entities that use those resources. However, in the summer months, this body of water is potentially very sensitive to its use. Briefly speaking, spring and late spring and summer months is the time when you need to build technological retention in such a way as to be prepared for significant constraints, especially when it comes to discharge. I've been talking about it quite long. Briefly speaking, as compared to last year, when our thoughts -- well, physically we were at the conference and with our thoughts we were at the company and we took a number of action items connected with the retention of water underground, including also the restoration of the correct technical condition of the discharge infrastructure to build additional retention facilities where possible to avoid possible negative consequences for the water removal from the mines, I mean, the inflow of water from the mountain areas is what affects KGHM. In particular this year, we're in such a situation that the retention facility has been built in such a way, but we are prepared for such scenarios where we can limit the water discharges to such levels that will in no way impact the environment. Of course, this has also been subject to audit and the further part of the process and the answer to the questions why that had happened and what to do to avoid the recurrence of such situations going forward. And that such a large entity as KGHM is not prepared or should not be prepared for its operations in the spring and summer months are underway. This is the first issue that has taken a lot of time, but it was finalized. I mean, it will never end. Because the proper care for the appropriate balance of technological water across the seasons is a phenomenon that will always take place and you always have to pay attention to that. But the question that needs to be answered is why it had happened otherwise previously is an a question to which the answer will be provided very soon. Yes, ladies and gentlemen, it is no secret because you have been asking about it. So it is no secret that KGHM has underwent a series of problems processes of audits related to events from the past. Among those there was the audit of diversification of energy sources. KGHM, as a very large recipient consumer of electricity, should diversify its energy sources and KGHM did try to do that, among other things, by investing in photovoltaic farms. As a result of the audits, though, we have found out that some acquisitions that took place in the past were not carried out in the optimum manner, both with regard to the acquisition price and the later identified technological condition and the entire procedure of acquiring photovoltaic farms. This is also a lesson learned for the future and a message from us. KGHM is by all means interested in diversification of its energy sources and investing in renewable energy. However, definitely not in the manner in which we found that things had been done before, with the technological aspects being handled, to put it mildly, inappropriately. Before some of us returned to the company, some others came to it for the first time. Like in any other large entity, KGHM experiences staff turnover and precisely this was also reviewed. KGHM is an excellent institution that forges good personnel. You can learn a lot in this company. You can use those lessons in other institutions. However, I think that KGHM is not the best place for spending money on severance payments, on paying for non-competition with excessive staff turnover that happens happened in previous years. Several dozen people came through various management boards, maybe not physically natural persons, but titles on which they were entitled to receive compensation; so several dozen people in KGHM International, now foreign assets, and almost 200 people from among key managing personnel in branches. In total, in such large companies, people do change their career paths or at the level of the organization decisions are made that some optimization can be undertaken with regard to managerial personnel. In the labor market, if somebody has particular skills, particular expertise, mostly -- please forgive me the simplification, the market is willing to pay for this asset, it's a bit like in football. If there is a transfer of players, sometimes the club buys a player and pays for the player. Surprisingly, in KGHM, staff turnover mostly represented a cost for the company. I cannot recall a case of generating revenue, so that's another thing from which we should draw conclusions. Personnel changes which are an inseparable part of the operation of such company should be handled properly. Various things affect staff turnover, but that definitely should not generate several dozen million costs over a couple of years or at least staff should be selected in the right way and the changes should be prevented from being only unilateral. Another area which we submitted to review was the environment. KGHM is a large company. ESG, CSR are not just empty labels or slogans nowadays. KGHM has for years been pursuing activities related to sponsoring or media cooperation; the area which should be well thought through and well supervised because for the majority of consumers who are not deeply familiar with this, these might be associated with money that is spent in a non-optimal manner. And unfortunately such things happened in the past several years KGHM spent almost 800 million PLN on this budget line. So always attention has to be paid that this type of collaboration is balanced without being tainted by anything else apart from the substance of it, and that regards the cooperation with the environment of the company and with the media, so that nobody can say that the company likes those and dislikes others and is willing to cooperate with the former and unwilling to cooperate with the latter. In companies like KGHM, this should be really balanced and it wasn't. KGHM, in its structure, has the Polish Copper Foundation and the foundation has its statutory goals which are closely linked to this aspect of activity that I have just mentioned and spending reasonable amounts on social purposes on good causes. Let me just quote one example, the difference between 2024, which we are discussing today and 2023, the previous one, in terms of the Polish Copper Foundation, the difference in the money spent was fourfold and not always related to the activity of KGHM in the region. And KGHM is not that big a company so as to carry out this policy on a nationwide scale or the areas in which it doesn't have any impact on the environment, or it doesn't have its employees or former employees or local communities. KGHM is a large company in the scale of Lower Silesia and in Poland, but you have to be very cautious about blowing up this type of cost. And the last point, I think Mr. [Indiscernible] will talk you through the details of that. Last year the company -- well, in recent years the company became an international one with assets located in Canada, in Chile, and China. We reviewed those assets and also certain things that were identified are things which we do not consider optimum. This in particular applies to the Robinson Mine, which in 2023 got into very serious trouble related to the availability of machinery, but also with regard to planning both mining, open-pit mining operations and stockpiling preparation for the processing in a flexible manner that allows the plant to react to any temporary trouble. And we can see that in the first quarter 2023, the situation was really very bad and now it is very good. You can say, okay, the results are fine, but the bass is very low, so there is no point in deceiving ourselves that if the bar is set so low, it's really easy to jump over. It took us a lot of time to address the key development project of KGHM Canada, namely Victoria project, which was acquired as part of acquisition project in 2012, where we had a certain condition. Connected with the advancement of that project, let me just remind you that this is a very deep mine, dippy pit mine of copper and nickel, where the project is performed into two stages. That was actually our decision that we made. Two shafts will be built there. We've determined that in the decision way as regards that project that the decisions had been made on an ad hoc basis and the components of the budget were just added. The project CapEx grew multiple fold over many years, so you couldn't just make a decision whether it was profitable or not, what would happen to the minerals extracted, who they would be provided to, but it was basically a typical haphazard ad hoc project. The largest asset is the Sierra Gorda mine in Chile, where we are partners of the then Japanese Sumitomo; right now, the Australian South32 company. I believe that, Madam Vice President, will also relate to some phenomena that will have to happen there, but the performance there has to be improved and the situation has to be achieved where some things should be delivered if budgeted and promised, at least to a large degree, rather than as life shows. And I'm talking about the mining activity, but also I think that very soon now, in terms of a good cooperation, it's very important. I mean, we perceive good cooperation with a 45% shareholder as our partner to be of key importance. We will also be making decisions for the future and in terms of the development and keeping in mind that the time of intense CapEx investments in or investments in international assets, financial assets have to be finished when the cash flows in one direction only. And we should also try to find reasonable sources of funding, not necessarily in Poland and not necessarily at the parent company. I've been talking to quite longish, but I had to make this introduction. I'm sure that you will answer -- ask a question at one stage, what about the strategy that we mentioned at the first conference early this spring? Well, I'll be trying to avoid the word strategy because to announce a strategy in line with the corporate rules, we first we have to adopt that strategy at the management board level and secondly to invite the supervisory board to approve that strategy. Those processes have not formally been finalized. I think they will be finalized soon. I don't think it's a secret that a certain identification of the status of KGHM growth after 64 years of its history and for the next 140 years to come, that's what has taken up most of our work and still is. That's why KGHM will announce its strategy at one point. You must not build a strategy for such a company as KGHM for four or five years because investment processes, CapEx-related processes take 15 years. So whoever prepares a strategy for a company like KGHM in planning anything for 10 years time, it's actually operating, it's not a strategy. So we'll just deliver a strategy very soon now. We also have to keep in mind that the reasonableness and profitability of some decisions is of key importance. And those decisions need to be made urgently. Let me just emphasize that urgently, because the decisions to be made in 2025 will realistically result in the outcomes in 2040. That's how it works. There will be no realistic production-related outcomes in 2030. The fundamental decisions in mining operations cannot be expected earlier than within 12 to 15 years. That's why we realize how urgent some decision related processes are. I am sure that Mr. Vice President Bryja will mention that. In a further apart so much when it comes to the introduction 29 minutes, not so bad. So let me just pass to something that I'm sure you saw yesterday. That's to say the key macroeconomic factors that had an impact on KGHM performance for 2024. The most important ones are the quoting the results for metals, mostly copper and silver. They were positive vis-a-vis the comparable period, that's to say 2023, and in dollar terms copper was 8% higher, silver by 21% higher. However, if you look at the valuation on zlotys owing to the appreciation of the PLN against the Euro and the Dollar, in our case mostly the USD, the Polish zloty is 5% stronger vis-a-vis the dollar. So, the increase in the prices of the metals were plus 2% for copper and 14.7% for silver, but you will remember that the revenues from the sales of silver represent above a dozen percent. So 15% of increase in the silver price does not result all that much in the increase in the top line increase. As regards the revenues, KGHM Polska Miedz S.A. domestic revenues grew by plus 3%. Let me just remind you plus 2% for copper, plus 14.7% for silver. But this stems from the Robinson mining results and the lower production. The adjusted EBITDA for KGHM was 4.4 billion zlotys, which represent 25% increase year-on-year against 2023. The adjusted EBITDA for the group represented 8.457 billion and an increase by 58%, the net result. Last year the company had made some write-offs and you also have to look at this from the prism of why this happened. But when it comes to the result, it's 2.8 billion zlotys for the individual result and for the KGHM group, 2.87 billion a similar level. When it comes to copper production, 2024 was the time when the Głogów won mine, had an idle time. That's the largest mine that was actually that was launched in 2016. Let me just on a private note, we launched it in 2016. It was launched within a day and it started being operational. It will never happen. There were some teething problems obviously but that metallurgical work -- those metallurgical works are very close to my heart and I'm very happy that it was launched in 2016. The first overhaul took place in 2020 and the next one precisely last year, which means that once in four years such metallurgical works are subject to the in depth revamp overhaul, including the replacement of the kettle, the boiler system. Why is it important? Because I remember when it comes to a similar technology, I don't remember that, but I'm aware of the story. When a similar situation for the furnace was launched in, I think 1978, the first stopover happened one month thereafter. And then everyone strived to make sure that the stopover times between the overhauls were about a year or 18 months. It was a huge achievement to achieve two years. Then we ventured to introduce three year periods between major overhauls and then four years. In the case of the Głogów’s metallurgical works, it just happened right away. And if we are capable of managing the insert in such a way as to extend the overhaul times, this will impact cost optimization and we will naturally do that. And we will be thinking about five years periods between overhauls and going forward, you couldn't exclude longer periods. Well, this is why I took so long to discuss the topic. Firstly, obviously I wanted to both a little bit, but secondly, I wanted to give you a background on the result of 2024. With this plant operating smoothly, we had positive impact on the total results of our national assets. Usually a certain stock of anodes has to be amassed in order to ensure continuity of the refinement process. As regards electrolytical copper and paid copper, the output was at the level of any year without any renovation stoppage. And owing to the base in the Robinson mine, we recorded significant growth. However, it is not satisfactory to us yet. We had the output also meet the results in Sierra Gorda mine. Paid copper production is something that I would like to use as the opportunity to make another comment. 35% of electrolytical copper input comes from third-party input that is concentrate and scrap metal that is processed in KGHM smelters. This is a trend that will probably continue because this secondary copper recovered from scrap metal is something increasingly common. Both CapEx and operating costs grow and companies worldwide will have to reach for weaker and weaker resources, so copper scrap will always be of value. 35% of our national operations use third-party input and we will very much strive to keep this proportion so that we do not have any significant increase in third party input. It is not going to be easy. However, that is the only way that allows us to envisage higher volume. You can easily process scrap metal on condition that it is available at the market. This is something that did happen in 2023 and in 2024. The propulsion stayed almost identical. 65% from primary copper and obtained as output, then processed into concentrate that was used in KGHM smelters and 35% of third-party input, very carefully selected so that the technological processes fit the material that we have. I'm about to wrap up promise. As regards silver production that requires some comment. We had more than a thousand tons of silver in 2024, which was 6% down the previous year. This story goes back to 2022, the second fourth quarter where there was Caldo [Phonetic] furnace downtime. As a result, some easily processable materials were kept in stock and were carried over to 2023; easy to process and quick to process. As a result, the base for 2023 in terms of silver was a record higher. It is our ambition to drive the production here, but we want to increase our own supply. Silver comes mainly from KGHM mines and it is going to be very difficult to match the result obtained in 2023. TPM, total pressed metals -- total precious metals also 6% lower; molybdenum similarly. That's it from me. I do apologize for this lengthy background, but I think that will optimize the Q&A session after our presentation. Mr. Laskowski, key things from the production.
Miroslaw Laskowski: Andrzej has already said everything, so I will not repeat any numbers that you can see on the screen behind me. I will comment on the production and Polish assets as follows. We have good and very good results in each sector of operations, both with regard to the budget and with in comparison to 2023. This is the case in mining, in processing and in smelting. Let me just give you one figure that is not shown on the slide behind me. In 2024 we also had a record high production of rolled metal, which we make in Cedynia Smelter. There was a significant demand for that product and we managed to obtain 271,000 profit as a result of that. The other numbers can be read from the slide behind us. And I would like to speak for a moment about the planning process. In such a large mining and metallurgical company as we are, everything starts with mining. We plan our extraction units and places where we obtain ores. We have about 300 meters progress annually. So you need to plan geological parameters very carefully. I'm talking now about copper content and grain of the deposit -- density of the metal and the deposit. Also the investigation of the quality of a particular deposit, sometimes we need to do that drilling which gives us improvement in the planning by 30% and then we have data from the actual mining activity. That is the key component of our mining activity that also involves preparatory work. We have a structure of making the deposits available by layers. So we prepare certain preparatory layer and then assuming progress at 45 kilometers, which is about 7%, moves us to category B of deposit study. And we have the last element then related to mining production, namely calendar. Every calendar has fixed number of business days and holidays. We plan work also on holidays, weekends and other holidays at 13% with completely voluntary basis of involvement of our employees. And we use a variety of incentives, special bonuses, all day salaries at 200% or at some other percentage. We need to plan our work for the following years and any additional change of a black day business day to a red calendar day, that is a holiday, means a certain modification in such a large plant. And then we have the easiest part, everything that is delivered by the mine has to be provided in the form of concentrate to our smelters. We need to make sure that about 85.5% is the actual metal in the output. In the total mass of output, we also have to make sure that the waste is disposed of at the right rate. Planning is based on our throughput capacity and renovation cycles. 2024 was the overhaul in the global metallurgical works and in 2025 and 2026 we have six month idle times at the electro-refining [Phonetic] at the Głogów metallurgical works. We don't turn off the lateral refining to zero. This is done section by section but it does impact the end result which is electrolytic copper. And hopefully you've been -- this was enough what I have you have been informed about when it comes to the assets I'm responsible for at KGHM. Good afternoon, ladies and gentlemen, a couple of words of the production markets for our international assets. Let me start with our Sierra Gorda asset. The CEO mentioned some things. Let me just start with strictly production related data that you can see. We could hear you very badly. Is that better? Okay. I'm sorry. When it comes to payable copper production, indeed we have an increase versus 2023. 2023 had not been a very good year. Therefore we're not fully satisfied with the results but this is of course some increase and we can see possibilities or further open production related and operating improvement. It should be added that the components mentioned by the CEO, as regards the copper prices and the FX rate do affect us. And for Sierra Gora we've been aided by a macroeconomic component such as the copper price. Additionally, contrary to Poland, we've been also helped by the by the currency and its rate against the dollar. Therefore, last year was closed by the result of 2% year-on-year. As regards the silver production, here we also had a larger throughput or throughput volume and the ore content was also increased. Therefore the effect is that on year-on-year basis we have 4% plus. Similarly when it comes to noble metals, a little bit less so when it comes to molybdenum, it's minus 6%, but on Sierra Gorda this is the component that we focus on. We try to optimize that process. We have problematic ore also this year but hopefully the results will be better. As regards our situation and our relationships on Sierra Gorda, I'd like to emphasize two things here. So first we managed to build quite good relationships with our South32 partner. We treat Sierra Gorda as a hugely important project for us that still has some development potential and there's a significant value to that investment to that project. Therefore, we decided along with South32 to focus on joint staff related strategy as well as the operating optimization strategy and implementing new production related rules. Additionally, if we're talking about the potential for Sierra Gorda, we're talking about future projects but those projects have to be prepared in a very meticulous way based on full analysis. South32 conveyed this information. We can confirm it that any possible decisions on a potential fourth line will only be made after the decision and that decision is expected towards the end of this year. Additionally, I'd like to indicate that Sierra Gordo has also inspected [Indiscernible] Northeast, the deposit that we have and we confirm that there are deposits enabling us. I mean, in the course of documenting that -- but this is definitely the licensed area that will increase our throughput capacities so much. That's it as regards to the Sierra Gorda. As regards KGHM International, well, first of all we should focus on the Robinson Mine. That's our largest mine in North America. And as the CEO has indicated, 2024 was a very good year both compared to 2023. I was colloquially speaking quite poor and also -- well, it was a unique year, 2024, no matter what you benchmark it to. We're using the Rule 5 deposit and we were also able to extract as much as possible from the blending. Therefore that year compared to 2023 was finished with a pebble copper production of plus 52%. At the same time we also had good results in Canada, as regards the Sudbury Basin and Carlota Mine. You will probably know it but I'd like to emphasize that on February 28, 2025 we closed the sales transaction for the Sudbury Basin and consequently this will probably be visible in the next years. As regards silver, as you look at the Robinson mines there are just spurious amounts of silver. So KGHM mostly bases on the Sudbury Basin and was just indicated as indicating the case of copper. There is a lower extraction volume as well as lower silver content. The effect is that we're talking about minus 63% silver production. As regards precious metals, gold at Robinson was obtained in higher amounts as well as throughput at the Robinson mine which enabled us to achieve a result of plus 32%. For molybdenum, no change has been accounted for. We produce molybdenum mostly in North America in the Robinson mine. That's it. Thank you very much. And over to Vice President, Iga Dorota Lis.
Iga Dorota Lis: Good afternoon, ladies and gentlemen. So when it comes to the production-related activities were discussed as well as international projects, let me just focus on the CapEx in Poland and the first slide shows that out of 4.1 billion zlotys worth that is accounted for CapEx in this year, the actual CapEx represented 3.935 billion this year, and this shows how important mining is. This results above a thirds of the CapEx in our company is mining. So it's 3 million -- 4.1 is mining, the rest is metallurgic and we also spent also on CO2 emissions purchases that was 150. So analytically speaking that was the maintenance and development and adaptation projects. So 36% was for actually for replacement. That means that our assets are getting old and we have to spend money on maintaining the operating sufficiency. And so this is the replacement and maintenance, development only represents 25%. That's way too low. This you will notice and this will probably be the shown in the next slide. You'll see that our plans and needs actually are requirements. The plans are not so large as regards the require -- our mines requirements for large CapEx projects that we've been waiting for in years that are quite delayed. For instance the building of the three shafts, so this 25% is hopefully the last year when we are talking about the R&D and our expansion. Last year, just to remind you, it was roughly one-thirds for each of those three areas. Nowadays, recovery and maintenance accounts for more. So the needs in this respect grow and on the other hand we lack funds for new investments. Here you can see what tasks were qualified to those individual areas 3.017 billion, for maintenance of mining areas. And when we use new fields, we need to make sure that all utilities are conducted. We have planned power supply. We need to ensure transportation and also conveyor belts. We prepared a 30 section of this conveyor route. That is a constant ongoing effort just to maintain the production. Another thing is the replacement of the machinery. We adopted a policy in the company that with regard to our core machinery, that is drilling, anchoring and transportation machines, after five, six years we replace this machine park in its totality. Therefore, we have to buy new machines and this year we bought 247 machines and the plan was 254. Some were carried over to this year. Let me remind you that the beginning of this year we had to deal with stage five. And the machines that did not meet the requirements of stage four were kept by the producers until that time the requirements were met then. As the CEO mentioned at the beginning, water protection, at the beginning of this year we had to make sure that we regulate water regulation functional. In Żelazny Most, we had a significant amount of waste water discharged and now it was significantly reduced. So control of water supply and disposal systems, both overground and underground, is of great importance; in particular in times when we expect the Oder River to raise its level. The next item, that is the Żelazny Most container, we ended at 195 meters and it was practically filled. So there was a significant risk that would be forced to reduce the production or even stop it altogether, depending on the weather conditions in the spring and the summer. We regulated all things related to infrastructure underground and overground. However, there were no procedures that would allow us to raise the level of the container. So we had to negotiate with local authorities to ensure modification of the zoning plan. Now the plan has been modified, so we are at the final stage of obtaining environment decision. And we expect concerned to raise the level of this to 205 meters. We know that procedures have to follow certain administrative terms, and that is something that remains beyond our control. Nevertheless, we make all preparations necessary to use this time effectively. Another big chunk of this pie is the recovery of mines and smelters. Here we have work related to hydro technical plants and in plants we have modernization of lifting machinery, ventilation systems. Altogether, that is 301 million PLN, which is a relatively low cost compared with the previous items like machine purchases. Exploration, unfortunately that is much too little. Exploration for new deposits is unfortunately insufficient. We have a few areas in which we carry out exploration at the same time. First, that is in active mining areas. That is Retków, Gaworzyce and [Indiscernible]. Here we obtain the highest category, that is Category A, also exploration on drilling from the surface, that is [Indiscernible] deposit where we need to intensify our activities in the upcoming years. We think this is where we are going to continue our mining operations, once the plan which we have now has been completed. Maintenance of the shafts. Here the largest item is SW4 shaft in the so-called salt section. We are obliged to make it regularly operational by cleaning it and by making overhauls of the entire infrastructure. Modernization, for example, salt storage at Sieroszowice, let me just remind you that we produce copper ore, but also we produce salt in Sieroszowice. The program of making deposits available, that is the program for underground drilling that will allow us to develop new layers for exploitation. And this is of great significance because this program allows us to identify new types of risks related to gas, related to water, and this is a very significant item. After we came to the company, some of those places were covered by water. Now all the locations have been recovered for operational use. And when we have drilled corridors that are flooded, it doesn't make sense to operate the mine. Once it is cleaned and ensured against future flooding that improves our overall performance. I said I would not show you the details of the slide and this is not actually something that you saw in the past when we talked about Głogów. This slide intends to show you the importance of shafts in mining. We are talking about Deep Głogów here. Production increase previously was 2% and between 2023 and 2024 the growth was at 16% because in 2024, in June, we managed to open GG-1 ventilation shaft. Each cubic meter of air translates directly into the tons of our output. And this map you can see GG-1 shaft that was made in June 2024 and in green you can see other shafts. From the right Retków, then GG-2, also called Oder and then Gaworzyce shaft. This is nothing fanciful. This is nothing that is nice to have. These are the shafts that we have to build because the program of exploitation of the deposit assumes the usage of those shafts. So we have to remove the air. We will make anything to make sure that these shafts are operational soon. Nothing for the future. These are the shafts that allow us to complete the existing plan. So here we accelerated some activities as compared to our previous schedule of work. GG-1 will be completed this year. Now we are securing finishing works there. We are also building overground structures at GG-2. With particularly complex geology, we are seeking a convenient place for the location of the shaft. The first project and the first drillings were finalized last year and this year we're starting drilling, in another year and after in depth analysis. We hope that this will be the ultimate place for Retków and Gaworzyce shafts where the local zoning decisions have been changed. We're contact with the municipalities and we're starting to plan for the drillings and for all the shafts we are also negotiating with Abeka [Phonetic], our own entity and we want to have a general contract to avoid in depth negotiations. So, since all of them will be performed, we want one umbrella agreement for all of them and this should first of all curtail the administrative procedures before starting the work. For the Retków shaft, we are starting your geological drilling this year and probably for GG-2 in a new location. I've just discussed the basic tasks when it comes to mining. Here we have -- we're talking about smelting and refining. So actually it was previously discussed by the CEO who's a great expert at this, so I won't be coming back to the individual tasks. These are mostly connected with the modernization of the smelting and refining facilities that are being modernized. But also we're talking about the preparation of new sulfuric acid tanks in Głogów, also the refinery and also for the Legnica copper smelter and refinery that has not been closed yet and hopefully it will by the end of next year so much for smelting and refining. Thank you very much for. Thank you very much and now over to the financial results. And can I ask the CFO to mention that.
Piotr Krzyzewski: Well, it's hard to add anything after such statements. It's good to be at the end. So let me just run the slide in the background. But what the CEO mentioned at the beginning, I remember being here with you a year ago. As the CEO mentioned, we were here physically but then I remember I was thinking about two figures, 2011-2015 copper at 1%; and 2015-23 at 10%; and now 2024 minus 2%. So I wish it had been the output. Unfortunately it was the increase in costs and kind just to exemplify what it means. Currently 10% is doubling the costs over eight years. That's what we had to cope with. Our ambition was also, and we repeated that each quarter, was to stop those dynamics. The dynamics that had been of at least 10% was not feasible from the point of view of ensuring business profitability. What we achieved was a negative increase at 2% excluding the write offs. Also for taxes and considering those factors, the figure is minus 2 percentage points. Ladies and gentlemen, it took a lot of work. Let me also tell you where the deposits are that we were able to extract in 2024 for when it comes to costs and where we can see ourselves for 2025. Of course, we did not only work on costs in 2024, we were also working on the revenues, as Mr. Laskowski said, but also when it comes to the rolling materials. I think [Indiscernible] was first launched in 2019. The first it -- the company never produced so much rolled copper and we also -- including wire, we sold a record breaking amount. And also on the cast, we also manufactured wire and we also bought some capacity, throughput capacities out of Poland where to ensure additional margin. If we're talking about 6% in revenues, as mentioned before, this is mostly attributable to Robinson and what changed and what you can see as analysts and investors that this contribution is much higher because the structure, I mean, we were producing and selling higher margin products. So the quality change for sales is noticeable for 2024. Also what was mentioned before, we always refer to our core products, copper, silver, gold and molybdenum, but our product of range weighs much more. But we have uranium, selenium, sulfuric acid and a lot was also happening over the year where there was a lot of commotion in the market with a world a lot of volubility, volatility and we try to achieve as higher -- as high leverage when it comes to revenues as possible. The next area that I oversee is finance and it took a lot of effort. Along with the controlling department and all my colleagues, we were working in our teams to reduce the costs. I can also tell you as a fun fact that we also performed a cost cutting exercise. We reduced the human resources in the head office by 4%. And one of the things I did was flattening the structure. I eliminated the controlling department. I'm also one, so just we covered directly with the controlling heads so that we could perform as much as possible when it comes to cost reduction. A lot was happening in finance when it comes to building the funding structure, you cannot see it, but we're talking about over a dozen contracts with banks, financial institutions that we concluded last year with two goals to first build the stability and liquidity for the company, on the other hand, the rationalization of costs. So many thanks to our colleagues from the national and international banking sector for treating us in our partner like way and we're also very well perceived by the banking sector. Another leg that we were also expanding last year was obtaining funding at the bond market. Just to remind you these were seven year bonds worth 1 billion zlotys, 125 bps of premium without -- non-collateralized. That was the cheapest corporate bond the issuance in the history after 20 -- after 1989. So we enjoy a lot of trust from banks and investors and lenders. So a lot also related to risk management both for FX rate and the metal quotings. This process is well streamlined and what we can see what can hear from you from analysts or bank specialists that our team is one of the best in the market. I think it is the best actually. But as we've been saying we have an F1 at our disposal. It makes a difference who drives it and we think we're good drivers when it comes to driving such a racing car. And the last item that I'm proud to deal with is energy. As mentioned by the CEO a lot was happening there and we achieved a lot. The energy is a very complex issue in our country company. It is composed of two most important pillars energy and gas. We develop a dealing room and again I think we're one of -- we're among the best corporate traders when it comes to buying, selling, ensuring in the balancing market in Poland. We have a lot of ideas. So in this respect I can say 2024 in this respect has been well used and for 2025 we have new ideas on how this team could be optimized when it comes to using that we will be consuming over 3 terawatt hours per annum. We are the largest consumer of energy in Poland so that's to wrap up 2024. As for 2025, what lies ahead? First of all, colloquially speaking I should say that we have already picked up the low hanging fruit in the first year, now we're reaching a step further. What does it mean? These are more complex and longer lasting protection projects and it will probably require some patience from us and from you but we have well thought about it and we want to know where to work against materials, services, energy, gas. And we see great potential for further improvement, digitization of certain processes and, as my colleagues have already signaled, in the context of our way of looking at foreign assets so far, they have been the recipient of capital and now the repayment of loans is going to represent a much higher amount than what it was last year. We can see also the development of those assets with regard to creating a structure of funding where the recipient of capital is KI. As of now, this year that should be about a billion PLN of funding to be obtained by KGHM International so that it can operate and develop the Victoria project that we have mentioned. It is important because the demand for CapEx this year, $100 million – 115, okay, so $115 million is -- we assume that that will all be funded by the capital we are going to raise in that part of the world, not here in Poland. So we have had lot of work with the financial sector and some of that work is already being finalized. We also often ask about the dynamic in trade. For sure the dynamic is very high at present and something that is certainly of interest to you that keeps recurring. LMI contract comics you. Yes, we're in the process of registering cathodes there. This process should be completed in the second quarter. There are a lot of press publications. There was a lot of information on what is going on here. Here the difference today is more than $1,500, but let’s make certain assumptions. We have the information shows that within the upcoming days the decision should be announced about tariffs in the copper market. In the American market, a ship takes about a month to sail from America to Poland. The variability over time is over a thousand dollars and customs represent about 1%. And there's one more aspect that needs to be kept in mind, two figures were quoted, between 150 and 250 tons are now on their way to the US, these are mainly cathodes to be delivered to take advantage of the arbitrage. We were not present in the American market in selling cathodes. We see some prospects there, so we want to be present. This year, we have already completed a swap transaction where our partner, another producer, which is situated closer to the US than we are, supplies the US and we took over another contract from that supplier at a different location that is closer to us. At the end of day, the American market is very important to us but COMEX, LMI is something that we should watch without anxiety. If we look at net long term items versus short term items, the long-term position is built on LMI and not on COMEX,. So as a result if an administrative decision is issued all of a sudden, the spread gets narrower very quickly. What perturbations it can cause? Well, it's hard to imagine now. I can think of a scenario where the scenario in which the 150, 250 tons never reach the US and we will be then forced to sell it in Europe. The dynamic of changes is very high. But in the company we manage sales actively, taking advantage of such situations. Maybe also a comment on the slides, just to wrap up leverage here. On the one hand we are working on revenues in terms of quality and on the other hand we working on costs, and EBITDA growth by 58% is a component of that. What caused the present structure? On the revenue side, obviously we have volumes that is more than 700 million PLN and a change in the quotations of core products, 2.5 billion PLN that has to be considered in the context of changes in exchange rates. And then the second item, apart from price changes of metals, we also have the changing structure of sales towards more processed products, which also drove revenues and increased the margin. One more thing that we did as the management board, we stopped the dynamic of increase in costs by type. And if we look at the types of costs, technological, materials, fuels and energy, that is more than 1.2 billion out of which 1 billion falls for KGHM itself. We have lower consumption and lower prices of energy. We have lower gas prices and materials. So these items allowed us to stop the growing dynamic and this year we are going down to the level of physical storage, which will also affect our working capital. So we take a multifaceted approach to measuring this impact. Also bearing in mind cash flows, C1 is a good example of how we performed. C1 dropped by 7% year-on-year, 2.67 is the current level. But if we look at individual segments, Poland on the one hand represents a 3% growth, but on the other hand, this growth means that tax on some mines grew by 15%. And if we eliminate this element from C1, if we look only at this darker bar, C1 from 199 dropped to 195 and if we consider Robinson, it has already been exposed explained why we have 4.15 here. Just pay attention to 0.14, we have eight times higher tax in Poland than in the US. And if we compare that to Sierra Gorda, the difference is such that in Poland that tax is 12 times higher. Of course, each mine faces its own challenges. Open-pit mines are not easy to operate and manage. But also apart from the financial aspects, the operational profile is completely different in open-pit mines. And the formula that was justified in the past is no longer valid nowadays. And last but not least, of course, cash flow. Probably it is worth noting here one thing. On the one hand, income from operations, which almost covered investment, we didn't use 1 billion from factoring but that was in the context of rationalization of financial costs. We wanted to deliver the results promised. This factoring is available. The 1 billion you can see here can be drawn at any point. As you can see, we will use working capital as needed. This high bar represents large the CapEx in Poland and abroad, at home and abroad. But this is also reduced by the repayment of loans. They are also recognized in the investment activity and other aspects such as financing activities. Well, to wrap it up, the liquidity situation and also as regards the debt to EBITDA [Phonetic] is stable. The company is prepared to perform further investment projects. So thank you very much.
Janusz Krystosiak: Thank you. And we can see that that was the last part of the presentation discussed. So may I just ask Arthur to support you in the Q&A session? Thank you very much to the Board for discussing the 2024 results. Let's pass on to the [Technical Difficulty] --
Q - Unidentified Analyst : [Technical Difficulty] And if so, would that involve expenditure exceeding 12 or so billion zlotys? And if so, would KGHM envisage any changes to its dividend policy?
Unidentified Speaker: Well, you started off very well. And in the last sentence, the dividend policy put me off a little bit, but okay, it will be taken by the CFO. Just a correction, I was referring to that whatever we decide on might be reflected in 2040 in terms of the production but to avoid using the word strategy, because we'll come back to the strategy. In terms of strategy, we're talking about 2055 plus. We're talking about a longer perspective. And we, as the company, at least in terms of mining, we will not avoid a phenomenon that will happen over 10 years. That's to say that will be -- we have to cope with the decrease in our own mining output that will have to be substituted for. And that's also a challenge for the near future because we have some smelting and refining capacities. I was talking about this 65 to 35 owned to foreign inserts, but we don't earn so much on foreign abstracting from taxation, as mentioned before. Well, thank you very much for the comparison one of my colleagues have made. The potential beyond the Oder River is large. Many millions of tons of copper that are still awaiting us but we have to also remember about the millions of tons that are still on this side of the Oder. And that's the reason Mr. Bryja has mentioned the three shafts. So that's what I can say without getting into details. I'm sure we have two challenges. There is one challenge connected with the fact that the structure of the smelting inserts should be still valid in 10 or 15 years and that's not going to be so easy. So the input has to be taken into account. And as regards to the future, it will also depend on the shape of the mining act -- mining tax and whether it will be adequate for the activity. So some resources, supposing the mining act - the mining tax is not updated, might turn out to be unprofitable, basically. As for the dividend policy, well, in the context of what I've said so far, I would treat the dividend policy -- I mean each investor looks at it about how to perceive a company that you have in your portfolio. I believe that in terms of KGHM as one of the diversified assets that you hold in your portfolio, we have to look at it from the point of view of the long-term increase in its value, not only through the lens of short term dividend policy, but perhaps the CFO will add something more.
Unidentified Speaker: Ladies and gentlemen, in addressing the first part of the question, does anyone sitting in this room know what the copper price will be in a month's time? I don't think anyone does, given what's happening. Then let me just ask you, will you, do you know what will be happening in terms of the copper price in 2050 or 60? I mean, I guess that answers the question. There is a lot of volatility and just to explain how we hedge ourselves, the fact that we are an integrated organization from the end of the pit till the end of the process, we're integrated. So 30% of primary copper in Europe is derived from us. And back to the COMEX case, let me just say that what's happened -- what's happening right now, that as a result of the some anomalies, US used to be an exporter of scrap metals, on a net basis. Right now the scrap metal is staying in the US but it's staying there for speculative reasons because there are no smeltering or metallurgical works to take advantage of that scrap metal. What will happen? I don't know. The scrap metal prices might be -- might lead to an increase in prices. On the other hand, there might be an overflow of scrap metals that will flood the European market. So if we're not talking -- if we're not aware of what's happening in terms of scrap metal right now, what about 2050, we have to answer it in a responsible way. So in being an integrated operator, I think that this is our competitive edge vis-a-vis our competitors. Now to address the question with regard to the dividend, it's a simple equation. It's made up of several variables. It's the EBITDA that we generate. Right now, it's the savings program which we generate each year and that's the amount of money that we have at our disposal. The third variable that we also know is the tax. Whether it will change and how it will change, we don't know. You'll be receiving the information and we'll be receiving this information. So this will be the body of the amount of cash that we have at our disposal. And in clashing it against the CapEx, we will know what we can afford in terms of a dividend. So if we're talking about CapEx that will ensure higher rate of return, I'm sure that you will be inviting us to invest. This is a simple equation, but there is one missing part. We will also add the strategy to that and then we will be able to add one simple sentence when it comes to the maintenance modification or other treatment of the dividend policy.
Unidentified Speaker: I would like to add one more thing. Mr. Krzyzewski talked about copper prices in 2055. Well, actually he did not talk about those prices and I'm not going to speculate either. But one thing has to be said very clearly, global demand for copper also are primarily linked to energy transformation, which is unavoidable, but also, well, electrification is something that we experienced decades ago. But modernization of transfer infrastructure, all that is a predictor of what might happen to prices of metals in the future; not just copper, but all metals, in the context of the available global resources and potential new mining projects that might be in the pipeline but, at the current prices of metals, they are not profitable. That's why they are on standby. Their per unit costs are excessively high for anyone to consider launching them right now. In general commodities, raw material is something that is likely to remain in good condition in the future.
Unidentified Analyst: If I may take advantage of holding the microphone, I would like to bring up two other minor things. Regarding foreign assets, we have significant deviation from the budget on two items, molybdenum in Sierra Gorda and on TPMs and international. Are these any special deviations, differences that will soon be eliminated or now after two months of the year, you see that the budget needs to be revised. And another thing, when we are talking about foreign assets, I'm also curious what will be the streaming costs in international because these affected the EBITDA in 2024.
Unidentified Speaker: Okay, let's take that one by one. As for molybdenum, we are in a very transitional zone now in Sierra Gorda. In Robinson, the difference is not that great. In Sierra Gorda, there was a difference. Should I hold the microphone even closer? Okay. We had the difference. And after the first quarter of the year we see we are in the same area where we have a lot of elements that influence the process of extraction of this metal. And for some time now molybdenum production has been better in Sierra Gorda, so we hope that it will continue this way. For the time being, we do not see any need for budget revision. And in my opinion, we will focus on optimizing the processing to improve the overall process. And the situation is not disastrous to the extent that would force us to revise the budget in March. As for precious metals, well, precious metals is not about only Robinson. It's also Sudbury. On the 28th of February, we disposed of those assets and the decrease will be visible in the future because we won't have that asset any longer. Our optimization of foreign assets not only consists in extending the lifetime of the assets that we have, but also in divesting those assets, which we consider can be better handled by other entities. We think those minor assets should be managed by minor entities, while we will focus on our large assets. And these are the assets that we are definitely going to optimize in terms of process organization to have better results on Sierra Gorda. And the third question was about stripping. Stripping on international, with regards Robinson and stripping, we continue with stripping. As you will know, we are now moving from Deposit 5 to Liberty and we are making available veteran trip -- veteran deposit. So the costs in terms of CapEx related to stripping, yes, CapEx and stripping for those deposits will be visible because we have to prepare that for the next two years.
Unidentified Analyst: Thank you very much. You carried out the impairment tests in the fourth quarter. And as a result of the tests, the value of Victoria increased significantly. So my question is, is that the green light that you give to this investment or this $1.6 billion as the investment needed or the amount needed to complete the investment, is that what we should expect? And if you gave a go ahead to this project, by when would you like to complete it?
Unidentified Speaker: Possibly there was some misunderstanding here, but we did not revalue the assets of Victoria for this project. Just for clarity, that is underground deep mine that is now 800 meters deep and the target depth of the exploration shaft is 1.8 km. The entire overground infrastructure is ready. We saw the history of the budget in this project, unfortunately there was a continuous underestimation of the value and then the need for increasing the budget. This asset is completely illiquid. We are unable to offer this asset to the market. If we decide at a certain point that KGHM doesn't want to continue the project on its own and will have to look for a partner. The perfect partner would be an entity that has some processing or smeltering facility nearby. So the conclusion seemed evident. The project should be completed and the budget at 1.6 is not adequate, in fact it is much lower. We are not talking about the entire project because another shaft also has to be built. We decided to go for the two phase, two stage scenario because the CapEx risks and resource risks had to be limited and at the same time we didn't want to rely on only a single supplier of ore. 1.6 was the total amount. Plus there are also recovery costs at 300 million, if I remember correctly. As of today, we want to optimize this project and to carry it out in accordance with our rules for carrying out projects. Namely, we don't want to run it on an ad hoc basis because that doesn't give any comfort to the contractor if they do not know until which point they can have work and the contractor in this situation carries most of the risks. So we are restructuring the contract with EPC [Phonetic] exploitation and we know that this has to be finalized probably in four years at the turn of 2028, 2029 that is the time limit by which we would like to finish this phase. And we do not see any risks related to continuation of the process in this structure.
Unidentified Analyst: I understand why you mentioned the write off was the minus 100 million as of -- and the carrying value 1.3 billion. No, maybe I was confused, but thank you very much for the answers. I have one more question above the slide where you were showing the licenses for Polish specific question for Kos Bitcoin, there were some litigations also. Now, supposing you wanted to enter those deposits, is it everything -- is everything well coordinated in legal terms? And one more thing, if supposing you enter those deposits, would you need to build additional infrastructure in the metallurgical terms other than what you have?
Unidentified Speaker: Ladies and gentlemen, when it comes to [Indiscernible], by the end of the year there was a court case. Actually it was in terms of arbitration in Europe but there were also two lawsuits against the state treasury for copper. And right now they have been finalized. We can use that license. We'll be trying to make sure that the license is extended because due to litigation we couldn't drill, we couldn't explore it. And yes, you're right, it is our future. It's another area that we're interested in because after the total use of the deposits that have been explored so far, the ones marked in blue, we still have Retków and Gaworzyce. There was this Retków-Ścinawa and then we'll be building in the North West direction, [Indiscernible]. However, there is the Odra River halfway through, so we say that the first area until the banks of the Odra is the natural area and beyond the Odra there will be KGHM 2.0 as we call it, which means that we'll have the second part of KGHM, which will have its own shafts, its own processing and a large part of the technological process other than the smeltering and refining plant because it's already in place, but a large proportion of it has to be built anew. I'm sorry, Robert. Robert Manik [Phonetic].
Unidentified Analyst: I have some thematic blocks. Let me just try to ask the questions about the costs, the unit costs combined for your own deposits in Poland, I think it's an interesting deposit on C-1 for Poland. It's surprising at the level -- quarter-to-quarter level it's unchanged at 350, 250 is zlotys. And it's surprisingly good information, especially compared to what you provided in the budget where it was about 35,000, 8% more. So the question is about those simple savings after the previous managers. Has everything been accomplished and now can we expect the cost at the level of 8% to 10% higher per annum in 2025 or will we be able to control it around 30,000 to 33,000 zlotys? That's my first question. And then on the international, what's the lifetime of that mine? Should we just assume in the models that you'll be able to -- how much of the copper will you be able to sell? And if you could just tell us more about the process when it comes to the sales? I mean can you just relate to the COMEX or so be selling the dry weight or is it like the concentrate? What's the process like? Should you just assume any extraordinary results because of the arbitration or rather not? That's my second question. And about the dividends in line with the dividend policy, it's in terms of 4.6 zlotys as a maximum dividend for last year. Is that the level that the investors should write down or will you be just proposing something else in terms of the dividend? Thank you very much.
Unidentified Speaker: So as for the first question on the costs, yes, I think the answer is, as I've been emphasizing the first low hanging fruits that were the easiest to pick and you can see the results in 2024. That's what we started in 2024. It's been consumed in 2024. The next level is much more complex. It has a much different nature. I'm sure it will be that the way I can see some optimization opportunities when it comes to energy. We are starting to manage our -- not only our generation assets, but also the electric recipients and in terms of high power, the effects can be very high given the power consumption that we have. But you have to remember that whatever is working well in the virtual world, because we have a virtual twin and we can forecast that and analyze that, we're very much advanced in this area, but you have to remember that this is physical in infrastructure only, must not experiment -- make experiments on furnaces and so on. So we are very cautious in those terms. I think I would give the floor over to Mr. Laskowski to say something about the operating part because it's not the kind of cost cutting that we exercise in 2024, we're moving a level higher.
Miroslaw Laskowski: So it's not a matter of cost cutting, but also process optimization so that one plus one could make three. I can see a lot of potential in those terms. To wrap it up, 2025 will still be the time that we might -- we'll be trying to improve the cost structure. You'll be also able to see it through the lens of C-1, but we are trying to work through the lens of inflation, it's everywhere. I mean, probably everyone can observe the inflation in all components as and we as the industry are also exposed to it. So what we did this year was not only stopping the increase, but also beat or -- and beating the inflation. Will it be the case this year as well? We always put the bar up very high. The bar that we want to achieve and we do our utmost to achieve that even if it's not fully visible in 2025, then in 2026 and 2027. I think, I mean, as it was mentioned about the COA, the cost optimization program is something that we are implementing, but it's not something that we are implementing now and will finish in two months time. This is a process that will have a -- be very long lived and it will probably be a component of our organizational culture and identity that we want to live by to keep trying -- keep trying to find some cost and operating optimization. Over to you.
Unidentified Analyst: We're looking, with every -- looking at every aspect of our business, we meet on a regular basis during operating meetings and I can just reveal something to you. The division directors might not still know about it. We'll be dealing with the additional materials and we can evaluate the potential as several dozen millions of zlotys. So every component of your business will be subject to analysis. May I just ask you, do you see any, any savings in terms of the CapEx? Because the CEO mentioned that the CapEx was over 6 million, over -- was about 4 last year. Can we expect that on a long-term basis the CapEx will be also lower than OpEx, just as OpEx?
Unidentified Speaker: I mean we were trying to prioritize CapEx. Maybe not economize on it, but just to prioritize it in such a way as to first of all achieve -- to carry out those projects that offer the highest ROI. And as you will know, the maintenance and the reconstruction CapEx or replacement CapEx is very high. That's the way it is even today. We talked that when it comes to the repair -- the overhaul of the metallurgical works one were reflected in terms of 60 million zlotys in OpEx and over 300 in CapEx. I mean it's CapEx except that it's not bringing any results. So I'm sure we'll be just looking at CapEx as to provide use some prioritization hierarchy and achieve -- and try to achieve those that bring the highest rate of return. I was talking about the periods between overhaul. We will be looking at those components of the production assets that are not necessarily production assets and the costs involved and also in all areas of the functioning of those assets from the perspective of the possibility of divesting so that we do not invest money where we do not have the required return rate as much as possible. We have continuous work ahead of us consisting and looking very carefully at our assets. Wherever possible we will reduce CapEx. There was such a long discussion about shafts and money for that has to be found, otherwise the business will shrink rather than develop and that's not our point. Two words from me regarding international, as for the two mines which we have in North America, it's easy to address the question regarding Carlota and that is the asset which we have are going to divest by 2028. As for Robinson, everything will depend on the price of copper. We assume at least 10 years of Robinson and maybe that will be even 2038, 2039, depending on the price and depending on the profitability of extraction. I would just like to remind you that as of the moment of taking over those assets, the operations of Carlota was planned until 2017 and the other one 2019. The prices are getting higher and management of those assets and their extraction gets more expensive. However, as long as the revenues obtained covers our costs, we will extend the life of Robinson. I think the second half of the 2030s is the time until at least which we will operate this mine.
Unidentified Analyst: Just one more thing, and the output that you get in the us you sell in the US what is the technical process like? So you are talking about concentrate?
Unidentified Speaker: Yes, we sell the concentrate globally so that you know what the American market is like from extraction perspective. Less than a million tons, 700 -- well, 700 tons is extracted while 400 is processed. That is the capacity and the 300 is sold outside the American market. That is why -- well, I don't want to speak on behalf of American administration, but that is why there will have to be a decision what to do with this excess material that cannot be processed in America. So we allocate some of that in the US, some in Canada, some in other markets. And as for pricing clause, that is sensitive piece of information subject to trade secret, so we do not announce such information nor make it available. However, I would like to draw your attention to another thing that is happening right now in the market of concentrates. Concentrates are always quoted based on discount related to TCRC [Phonetic]. And last year that was at $80 to $88, now it is 21, 22, 15. I don't want to speak on behalf of all smelterers, but a lot of smelterers that process third-party concentrates operate below costs and record a loss. Glencore in the Philippines suffered such a loss. And you might have heard of other works that are about to be closed. Those that relied on third-party sources and that had to buy a benchmark. That is no secret if I say so today. The benchmarks for TCRC are negative nowadays. We also have some such transactions in which smelterers have to pay an extra money to obtain the concentrates to work on. And of course that is very important what is happening right now, because key capacities located in China. That has to be said honestly. These are state-of-the-art smelters that also support it financially on a local basis. So the question is what the market will be like in the long term. There might be an asymmetry where we have very little capacity in markets other than China. In my opinion, this scenario is very likely to materialize. Just a few days ago the Chinese government said that copper and nickel were included in the list of strategic raw materials in terms of purchases of such raw materials. So on the one hand you have profit and loss account, on the other hand you have the relations between the US and China, and then you have even bigger puzzle in which various players take part. So this example, for example of rolled metal shows what is going on. The market has also showed us that we need to ensure stability of supplies of raw materials. Also the location plays a part because we ensure stability of supplies. The input comes from our technological materials and that builds the value for our business.
Unidentified Analyst: I'm trying to ask questions that were asked online just very quickly regarding energy. Thomas [Phonetic] asks about SMRs, at which stage the project is now, whether the management board intends to continue the project and another JP Morgan whether KGHM was planning to participate in nuclear power plant construction in Poland.
Unidentified Speaker: I will start and Mr. Krzyzewski will probably want to add something. I was wondering how to very briefly answer this question, so let me try this. When we talk about long term perception of such mining companies as KGHM that is 20, 30 years ahead, and the same goes for nuclear power, these are projects that have to be analyzed even in a longer term whether SMRs as such would be able to compete in generation and delivery to the Polish power grid and compete in this market. As an element of ensuring stability, probably yes, but I don't think they would be competitive compared with large players or some combination of PV, wind and energy storage facilities. KGHM potentially, when SMRs are ready to build, constitutes quite an attractive area for suppliers of this technology for implementation of the right installed capacity and possibly three generation. KGHM is a huge consumer of electricity, but also heating. It also needs to cool its very deep mines. We are open to various possibilities and we will be willing to start talks aimed at finding synergies. It doesn't have to cost a lot of money, but yes, KGHM is open to proposals that aim at finding formulas, technological solutions that will give a chance -- nuclear power, a chance to exist. We are talking about SMRs or MMRs. Probably there are two other places where it could be [Indiscernible] as a major recipient and consumer of human heat, but generally it should be connected with large industrial facilities or municipal centers. So if it competes in terms of -- if it were to compete in terms of power generation I wouldn't say it would be very successful. I might be wrong though. Well, two sentences about it. The first one, when it comes to SMRs, we distinguish two stages. First of the all kind and next of the all kind, what is power gen in KGHM, it's the safety of the technological process from the security and human point of view. So if there's any other technology that would meet those requirements, well, we're open to that. As of today, I don't think that technology meets the criteria. I haven't seen a high efficiency operating SMR. If we see it, we'll be able to talk about it.
Unidentified Analyst: Thank you very much. Before I give the floor over to the lady, that would be the last question asked online. I'm happy to have also used it in our message and directly address most of the questions. But I have a -- so I have a question that is not directly related to the results related to 2024, but the overhauls to be performed this year. Mr. Laskowski mentioned the reports this year. If I may just ask you once the smeltering infrastructure -- when will the smeltering infrastructure finish at KGHM and whether after the finishing of this year's overhauls the production of copper and silver be increased or will it be the same perhaps this time on another line. Could you -- would you care to explain the mechanisms and the outcome -- well, the outcomes of this for the production?
Unidentified Speaker: I mean overhauls will never be finished at KGHM. They will last as long as the company and as regards the overhauled at the electro refining at Głogów, it will be finished halfway through the year, the end of the six months but in the next year, next repair works are envisaged for next year, so this component will still be subject to overhaul and repair works.
Unidentified Analyst: Thank you very much. One more question from [Indiscernible] Investment Bank. I wanted to ask you how you perceive the potential impact on your risk from the -- based on the Critical Raw Material Act and the fact that the list of critical and strategic components should contain. Well, what it does -- two days ago a new list was announced and you don't see any KGHM projects. That might sound sad but do you see any ways of taking advantage of that? [Indiscernible] but still -- but very soon a new edition is will be launched. Will you be taking part in the new edition?
Unidentified Speaker: I was wondering how to address it in the most in the briefest way because Critical Raw Material Act in my opinion, I mean I read it is a conceptual document in my opinion and it's just the definition of certain directions where the member states should be moving along or it should -- or they should perceive them as important. And it contains the list of elements and materials that is periodically updated and copper is among those special care metals, so to say. I am slightly disappointed by the fact that this document should be present presenting some minimum self-sufficiency threshold for the European Union given those materials. I mean they're different depending on what we relate to and if you look at copper itself, then we, as the European Union, we are meeting those thresholds. Except that it's hardly a source of satisfaction if you produce 1 million tons of mining coal, given that the demand is almost four times more, which means that when it comes to primary mining copper, we meet roughly 25% of the EU needs and requirements and as regards recycling, it's a little bit more. Of course you should perceive it as an opportunity, except that I would expect more specifics on the European Commission, much more than the Critical Raw Material Act, which has a general nature. I would expect more executive documents. As regards the second part, I couldn't be -- I wouldn't be able to answer because maybe someone else has understood, which second edition do you mean, second edition of collecting applications. Well, I just wanted to draw attention to the fact that we've been on the board for 12 months. The CEO has indicated that we faced a very difficult situation at the beginning to apply for any projects, the project has to be very well prepared. I don't think we can make it for the next edition of applications that will soon be launched, but we are getting prepared, except that we need to prepare the project very well first and we're working on those projects. We can see that potential and the resources and I'm sure that in a perspective which will be -- which will probably go beyond a month because it will be next month, I think so I'm sure we'll be dealing with that. To adding -- to add to that, I'd like to shed some more light on the details, we are working on those projects that can be achieved together with the National Fund of Environmental Protection as part of the Rebuild Europe Program. We are developing that. I hate to disclose the details but as Madam President has said, we will soon be preparing for going beyond that and we will be talking about larger sums of money than now. Okay, so let me just add one more thing at this point because I'm always the one on the Board that maybe not the one who hits the brake, but the one who submits one issue to be considered. Any projects, notwithstanding the level of their funding or subsidizing, should be efficient. That's to say that the accomplishment of a project that without subsidizing would not be feasible would not be profitable. Well, no such decisions should be made, okay. If a project is partially subsidized or to a large degree it can only be more attractive but the necessary and marginal precondition is not to make a decision on carrying out a project that would only be efficient because they are for free. Money never comes from the vacuum. There are no zero CapEx projects. And if a project is subsidized within 80% of the CapEx, it doesn't mean that you only need to add 0.2 of the CapEx. Why am I mentioning this because raw materials related projects of KGHM first of all have to be profitable and at the end of the day we'll have the strategies defined and in every such places they'll be split into -- well, maybe WBS is an example, but we will be looking at each such project separately as part of the strategic project portfolio. We will be also looking into the efficiency of each of them and to apply for any subsidies is a component that might only make such projects more attractive to life.
Operator: That would be it. Thank you so much. I can just confirm that we have answered all questions that were asked online and we will also provide more detailed answers by posting them on our website. Also, if there are any questions after this conference is over, we will answer them on our website. Thank you for the presentation of the annual results presentation and for answering the question. I would also like to thank those who came here for the conference and those who followed us in streaming. Thank you very much.